Operator: Good day, and thank you for standing by. Welcome to Sight Sciences Third Quarter 2025 Earnings Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Hannah Jeffrey, Investor Relations. Please go ahead.
Hannah Jeffrey: Thank you for participating in today's call. Presenting today are Sight Sciences Co-Founder and Chief Executive Officer, Paul Badawi; and Chief Financial Officer, Jim Rodberg. Also in attendance is Sight Sciences' Chief Operating Officer, Ali Bauerlein. Earlier today, Sight Sciences released financial results for the third quarter ended September 30, 2025, and raised its revenue guidance and lowered its adjusted operating expense guidance for the full year 2025. A copy of the press release is available on our website at investors.sightsciences.com. I would like to remind everyone that comments made by management today and answers to questions will include forward-looking statements within the meaning of the federal securities laws. These forward-looking statements include statements related to our 2025 revenue and adjusted operating expense guidance and the primary factors impacting our ability to achieve our guidance, our outlook for the fourth quarter of 2025 and into 2026, the impact of tariff costs on our cost of goods sold, our plans to expand our manufacturing lines to additional manufacturing locations and the expected time lines and related costs, our marketing, commercialization and growth strategy, in particular, for our TearCare segment, our ability to achieve our current and long-term strategic objectives and value drivers, the benefits we expect to realize from our recent executive management restructuring, our market opportunity and ability to compete and capture market share, the continued adoption of our products by surgeons, our product reimbursement coverage and strategy, including our ability to achieve broader positive reimbursement coverage and/or payment decisions for TearCare, expectations regarding commercial momentum, account utilization and customer engagement, our pipeline of interventional glaucoma and dry eye technologies, our clinical trial strategy and results, our investments in market development and research and development projects and expectations regarding the relief that we may ultimately be awarded and the potential impact of recently request exparte reexaminations on such relief in connection with our patent infringement case against Alcon. Forward-looking statements are based on estimates and assumptions as of today and neither promises nor guarantees and are subject to risks and uncertainties that may cause actual results to differ materially from those expressed or implied by these statements. A description of some of these risks and uncertainties can be found in our public filings with the Securities and Exchange Commission, including the Risk Factors section of our annual report on Form 10-K and quarterly reports on Form 10-Q. We undertake no obligation to publicly update or revise any forward-looking statements, except as required by law. On this call, management refers to certain financial measures that were not prepared in accordance with generally accepted accounting principles of the United States, including adjusted operating expenses. We believe these non-GAAP financial measures are important indicators of the company's operating performance because they exclude items that are unrelated to and may not be indicative of its core operating results. See our earnings release for a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures as well as additional information about our reliance on non-GAAP financial measures. I will now turn the call over to Paul.
Paul Badawi: Thanks, Hannah. Our proven interventional technologies continue to have a profound impact, shaping the treatment landscapes for glaucoma and dry eye disease. Glaucoma remains the world's leading cause of irreversible blindness and dry eye disease is one of the leading causes for a visit to an eye care provider. Both conditions are the result of obstructed anatomy in the anterior segment where the standard of care, topical prescription eye drops often fail to address the underlying cause of disease. With 2 clinically proven, efficacious and reimbursed interventional technologies for these 2 major anterior segment diseases, we believe that we have a unique opportunity to cross-functionally leverage team, market and disease synergies to create proprietary value and build a leading interventional eye care company. Our strong third quarter results were driven by excellent performance by our Surgical Glaucoma team, where we returned to growth in the quarter, both versus the same period in the prior year and sequentially. Our third quarter revenue of $19.9 million was driven primarily by adoption of our OMNI Surgical Glaucoma technology and we continue to deliver operational excellence, achieving solid gross margins and improved expense management. In addition, we anticipate that our recent achievement of the carrier price fee schedules established for TearCare by First Coast Service Options and Novitas Solutions will allow us to pioneer the reimbursed market for interventional dry eye procedures and expand care for patients. Our momentum in Surgical Glaucoma and the new fee schedules established for TearCare will be instrumental in driving sustained long-term growth. This progress further strengthens our outlook for 2025. And as a result, we are raising our full year 2025 revenue guidance to $76 million to $78 million. I want to start with our Dry Eye business, where we have seen important advancements. In October, 2 MACs, Novitas and First Coast, each established jurisdiction-wide pricing for CPT code 0563T, which describes the procedure performed with our TearCare system. The fee schedules were made retroactive for all dates of service on and after January 1, 2025. Within the areas covered by these 2 MACs, we estimate there are 10.4 million Medicare-covered lives. By securing appropriate fee schedule amounts for TearCare in these 2 MAC regions, we are beginning to realize our vision of pioneering the reimbursed interventional dry eye treatment market. We are seeing results from the deliberate phased approach that started with the development of best-in-class technology, demonstrated strong long-term clinical and health economic outcomes and now we are focused on building customer advocacy, expanding market access and commercialization. The payment rate established within these fee schedules is approximately $1,142 for participating providers in these areas and represents real value for all stakeholders, including Medicare, providers, patients and sight scientists when considering the clinical value of the procedure. These MAC fee schedules are an important benchmark as we pursue additional coverage and fee schedules with other MACs and commercial payers in the coming periods. We estimate there are approximately 6,500 eye care providers nationwide, including both ophthalmologists and optometrists identified as potential adopters of TearCare procedures based on high utilization of alternative dry eye disease treatments. We estimate an existing footprint of approximately 200 professional eye care providers who have previously purchased TearCare SmartHubs in these states with Medicare fee schedules established. With at least 15% dry eye disease prevalence estimated in the Medicare population, an established customer base in these regions and a tenured sales team eager to support clinicians and patients, we are ramping targeted TearCare commercialization efforts. We are now focusing our commercial resources on supporting providers in these specific geographies and are expanding the use of our sight access portal to streamline insurance authorizations and reimbursement. Our strategy is focused on facilitating provider adoption through the foundation of our experienced sales, marketing and customer support teams already dedicated to the dry eye market. We will also target new eye care providers in these states based on their current treatment of dry eye disease and focus on our Surgical Glaucoma customers in these states who may also benefit from adding TearCare to their treatment offerings. While it has been just 3 weeks since receiving confirmation that fee schedules were established, we have seen strong new customer interest in learning more about TearCare and good reengagement with existing accounts. We are pleased with this enthusiastic customer engagement early on and expect this activity to continue to increase through the rest of 2025 and into 2026. There is significant patient need that we believe will lead to substantial revenue growth over time as the pioneer of reimbursed interventional dry eye treatments. Turning to our Surgical Glaucoma segment. We've now completed the third full quarter operating within the new MIGS environment, where Medicare coverage in most states restricts performing multiple MIGS procedures in combination with cataract surgery and we are very pleased with our execution. Our performance this year demonstrates that OMNI is a foundational component of many MIGS surgeons' treatment algorithms. In the third quarter of 2025, our Surgical Glaucoma revenue was $19.7 million, up 6% compared to the third quarter of 2024 and up 3% sequentially. Importantly, the sequential growth comes off the typically seasonally high second quarter. Our strategic priorities include reinforcing our competitive position, making focused commercial investments, accelerating adoption of OMNI Edge and expanding the stand-alone OMNI opportunity in pseudophakic patients. Throughout the third quarter, we made meaningful progress across each of these initiatives, which was reflected in ordering accounts, utilization and average selling prices. For the second quarter in a row, we reached a record high for ordering accounts. In the third quarter, ordering accounts were up 2% sequentially and 8% versus the same period in the prior year. This was driven by both reengagement efforts with accounts who had ordered previously but had gone dormant and also new accounts ordering for the first time. Utilization was also strong, delivering a flat sequential performance versus typical seasonal declines from the second quarter to the third quarter. In addition, our average selling price increased versus the same period in the prior year with increased OMNI Edge utilization, which continues to be well received by surgeons. These metrics represent our core growth drivers and main focus of our commercial team and we are very pleased that we continue to see strong progress. Additionally, we believe there are market and tactical synergies across our Surgical Glaucoma and Dry Eye segments. There is customer overlap as most glaucoma surgeons treat dry eye disease and have many glaucoma patients talking to them about their ocular surface disease symptoms. There is also disease overlap because some glaucoma eye drops can cause or exacerbate dry eye and damage the ocular surface, including prostaglandin analogs or PGAs, the most frequently prescribed medication for glaucoma. Long-term PGA use has been associated with obstructive meibomian gland disease. We expect our Surgical Glaucoma team to be a partner to our ocular surface sales team as they create awareness for the benefits of TearCare treatments. As discussed before, we believe there is a significant unmet need among pseudophakic patients and that this patient population is well suited for a stand-alone procedure with OMNI. We believe that our efforts to grow this segment with a targeted approach that prioritizes education efforts aimed at surgeons and their staff are yielding positive results and that by targeting this segment, we will drive OMNI adoption that can be a meaningful growth driver for us. The strength of the third quarter highlights the progress we are making and we recently hit another milestone that we believe will further drive growth within our Surgical Glaucoma segment. In September, it was announced that OMNI was included in UnitedHealthcare's expanded coverage of glaucoma surgical treatments effective October 1, 2025. We believe that this will be a growth driver starting in the fourth quarter and beyond. Lastly, I want to comment on the management changes that we announced today. I am very excited for the latest evolution of the Sight Sciences management team with the promotion of Ali Bauerlein to Chief Operating Officer; and Jim Rodberg, to Chief Financial Officer. Both Ali and Jim have been critical members of the team for multiple years and they have each made many contributions over their tenure at Sight Sciences. We have all been working very closely together in that time to advance our strategic priorities and drive our results. I'm confident that their unique skill sets directly align with our vision of the future of eye care and the needs of the organization. As Chief Operating Officer, Ali will have direct responsibility for the successful scale-up of our TearCare franchise and increased oversight over our day-to-day operations. Ali has a proven track record of leading a rapidly growing med tech organization through multiple phases of growth. As we achieve more TearCare market access wins over the coming quarters and years, we are poised to create a new standard of care and significant new category in eye care, reimbursed procedural Dry Eye. We are confident that Ali's promotion to a COO role right now is a timely one, helping to ensure that our company maintains its daily cross-functional execution discipline and that our TearCare business scales reliably and predictably and achieves its fullest potential. Jim is also a great fit for our CFO role as Ali transitions to COO. Like Ali, Jim has also been a top performer at Sight for many years and we are very pleased to recognize his demonstrated impact, leadership capabilities and significant potential with this promotion to CFO. Having served as our interim CFO in 2023 and having worked closely with Ali and me for the past 2 years, Jim brings a strong finance background from a leading med tech organization that will be critical to our continued execution and predictable growth in the coming years. We expect our ability to drive growth while maintaining operational discipline to continue under Jim's leadership and are very pleased to welcome him to our executive leadership team. We believe this will be a seamless transition as our cohesive management team continues to execute against our priorities. As we look ahead, our strategy is focused on several key priorities, which include securing additional reimbursement coverage and our payment decisions for TearCare, accelerating commercial momentum in MIGS and Dry Eye, deepening customer engagement through ongoing education initiatives, generating new clinical and economic evidence to support broader adoption of our technologies and progressing our robust product pipeline. We believe that we are well positioned to finish the year strongly and thereby set ourselves up nicely for a return to growth in both business segments in 2026. We intend to continue to elevate our market leadership position in MIGS and drive momentum in Surgical Glaucoma with OMNI and to begin to scale the reimbursed interventional Dry Eye category we are creating with TearCare. It's an exciting time at Sight Sciences, given the significant patient impact we are positioned to make over the coming years by enabling our customers to treat 2 major obstructive ophthalmic diseases with proven procedural interventions. I will now turn the call over to Jim to discuss our third quarter financial results and updated guidance for 2025.
Jim Rodberg: Thanks, Paul. I'm thrilled to be stepping into an expanded role at Sight Sciences, especially at such an exciting time for the company. During my time here, I've been able to work alongside the management team and see firsthand the growth and progress that we have made. As CFO, I look forward to continuing to build from our strong foundation and deliver on our strategic goals. Turning to our results. Unless noted, results are for the third quarter of 2025 and all comparisons are to the same period in the prior year. In the third quarter, total revenue was $19.9 million, a 1% decrease. Surgical Glaucoma revenue was $19.7 million, an increase of 6%. Surgical Glaucoma growth was due to an increase in both ordering accounts and average selling prices, partially offset by lower account utilization. Our Dry Eye revenue was $0.2 million, a decrease from $1.5 million, in line with our expectations due to fewer SmartLids sales as we focus primarily on achieving reimbursed market access for TearCare procedures. Gross margin was 86%, up from 84%. Surgical Glaucoma gross margin was 87%, flat compared to 87%, primarily due to tariff costs, higher overhead cost per unit and product sales mix, offset by higher average selling prices. We incurred $0.4 million in Surgical Glaucoma cost of goods sold associated with tariffs. Dry Eye gross margin was 38% compared to 48%, primarily due to higher overhead cost per unit, partially offset by higher average selling prices. Total operating expenses were $25.1 million, a decrease of 11% compared to $28.1 million, primarily due to lower stock-based compensation, personnel-related expenses and research and development expenses. As part of the reduction in force announced in August, we incurred $2.8 million in restructuring costs and a reduction in stock-based compensation of $0.6 million. Adjusted operating expenses were $19.8 million, a decrease of 17% compared to $23.8 million. Our net loss was $8.2 million or $0.16 per share compared to a net loss of $11.1 million or $0.22 per share. We ended the quarter with $92.4 million of cash and cash equivalents and $40 million of debt, excluding unamortized discount and debt issuance costs. Cash used was $9.1 million, including $1.5 million of restructuring costs. As a reminder, we have not received any monetary damages awarded in our successful jury trial verdict in our patent infringement case against Alcon. Moving to our revenue outlook for full year 2025. We are raising our revenue guidance to $76 million to $78 million compared to our prior guidance of $72 million to $76 million. Our revenue guidance includes revenue for our Dry Eye segment of $0.5 million to $1 million for the fourth quarter. This revenue guidance range implies fourth quarter revenue growth from our Surgical Glaucoma of low single digits at the midpoint of the range versus the fourth quarter of 2024. We still expect Surgical Glaucoma segment's tariff exposure to be between $1 million to $1.5 million for full year 2025, although we acknowledge this is a very dynamic environment with uncertainty on future tariff rates. As a reminder, we have been working on additional third-party manufacturing locations outside of China and we expect these facilities will begin producing a portion of our volumes, starting with our OMNI Edge and TearCare SmartLids product lines in the first quarter of 2026. We expect Dry Eye gross margin in the fourth quarter to be higher than the gross margin seen in the first 3 quarters of 2025. We expect our Dry Eye gross margin to expand significantly with higher volumes associated with broader reimbursed market access as we ramp commercialization, partially offset by import tariffs. We are also reducing our adjusted operating expense guidance for full year 2025 to $90 million to $92 million, representing a decrease of 9% to 11% compared to 2024. This guidance still includes investments in pseudophakic stand-alone market development, TearCare market access and commercialization as well as focused research and development projects and also reflects reductions in spend associated with the August reduction in force. We still expect the reduction in force to generate approximately $12 million in annualized personnel-related savings. We're pleased with the operational and strategic progress achieved this quarter and remain focused on deepening our presence in the Surgical Glaucoma and Dry Eye markets. As we continue to execute against our long-term objectives, we're laying a strong foundation for sustained growth and future success. Operator, please open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Danielle Antalffy with UBS.
Danielle Antalffy: Congrats on a really good quarter and congrats on the TearCare news on coverage. I was at [ AO ] and it was really fun to see the excitement around it. And also get my TearCare procedure. That was very exciting as well. And I loved it. My question is for Ali. Actually, congratulations on the new role. I guess just at a high level, as Chief Operating Officer, what's going to be your primary focus over the next 6 to 12 months? And where do you think you see the most potential for near-term change to drive improving performance? I guess where are you going to be spending most of your time? And what do you think -- like what are areas you think you can really have a near-term impact?
Alison Bauerlein: Yes. And we're really excited about where we are from a development perspective here at Sight Sciences. I will really be focused on accelerating our growth, increasing the oversight on the day-to-day operations, but most importantly, really working with the team to drive the successful scale-up of the TearCare franchise. And I am very excited about the TearCare potential. This is a new category of reimbursed interventional Dry Eye that we are establishing and now having our first payer pricing established at appropriate rates really allows us to go approach the market. And we have a very unique value proposition here. This is something that is great for payers, great for providers, great for patients. And all of that leads to a great opportunity to drive this market over time. And it's a large market. We have a product that has great clinical efficacy. This is a recurring revenue business. And we're very excited about establishing TearCare as a leading interventional dry eye treatment company and category. So that's really what I'll be focused on primarily and really excited to be taking on this new role at Sight Sciences.
Operator: Your next question comes from the line of David Saxon with Needham & Company.
David Saxon: Congrats on the quarter. And Ali and Jim, congrats on the new roles. I got 2, one on glaucoma, one on Dry Eye, starting with glaucoma. So it looks like one of your competitors has kind of repositioned their product in a different sales force. So just wanted to get your thoughts on kind of how you see that opportunity? Have you seen any benefit from that yet? Or what are your thoughts on kind of what you could do with that opportunity in 2026?
Paul Badawi: Yes, David, this is Paul. I'll take that one. We've been focused since the LCDs went into effect over the past year, we're finally about to lap those headwinds. But as surgeons were forced to choose 1 MIGS procedure because of the restrictions that prevented surgeons from doing 2 MIGS procedures in a single surgical setting, our team has done a great job working with their surgeon customers and reminding them of the comprehensive efficacy of OMNI, the durable clinical outcomes, the consistent clinical outcomes that have been proven time and time again with lots of clinical studies. So they've done a great job winning that business as it converts from 2 MIGS to 1 MIGS. We're seeing the results of that this year. We're going to continue focusing on selling the benefits of OMNI and winning as much of that business as we can. As we head into 2026, the MIGS market will return to growth. We've been focusing internally with our team on doing as well as we could commercially. I think we've done a great job. Team has done a great job this year to position ourselves as strongly as possible entering 2026 to capture as much of that growth as possible. So does some disruption at competitors allow for further opportunity for us? It should. But I think we're doing a great job regardless. We're looking forward to the MIGS market getting back to growth in '26 and Sight Sciences and OMNI capturing as much of that growth as possible.
David Saxon: Okay. Yes. And then on Dry Eye, the TearCare opportunity, obviously, congrats on that news there. So you've got 200 accounts in those 2 jurisdictions. Can you talk about the initiatives you have going on to kind of build engagement and utilization? And then I know that happened post the quarter, but out of the 50 active accounts in the third quarter, can you talk about how many of those are in those jurisdictions and could kind of see some quick ramp?
Alison Bauerlein: Yes, sure. So I'll take that. And we obviously got this news in the middle of October. We're able to share this with the industry at AAO and really generated a significant amount of excitement and engagement around this new reimbursed category. And so we have continued to leverage those initial communications and have additional follow-up communications with customers as they explore how they want to use TearCare in their treatment paradigm. So mostly right now, we've been primarily focused on education, identification and then activation of accounts. I will say that it's still early. It's been about 3 weeks from the time that we got that announcement, but we've seen heavy engagement both from existing accounts wanting to learn about how they can activate this new payer payment rate and also new interest from new customers and of course, interest outside of the First Coast and Novitas regions. This also is something as we look to expand our coverage, we are engaging with customers in other jurisdictions as well to show the need and the interest in TearCare. I will say that we also have had now successful claims processed at these new payment rates. So it's good to get confirmation, not only have the fee schedules been published, but we also are now seeing claims activities being paid, which is important for customers. So all of that is great and kind of built into our opportunity here. Of course, in the fourth quarter, we do expect to continue those activities. But this is a very large market opportunity. Obviously, we included modest contributions in the fourth quarter associated with these activities, but we do expect that to ramp substantially going into 2026 as we continue to work with these accounts and broaden both the coverage as well as customers. In terms of the accounts that we already had engaged with, we aren't going to provide specifics around how many of them are in the First Coast and Novitas regions. But we do have a base of customers that we are engaging with. And as we said, there's kind of 200 within this group of accounts that have ordered over the last few years that we are in communication about reengaging on TearCare in this new reimbursed environment.
Operator: Your next question comes from the line of Tom Stephan with Stifel.
Thomas Stephan: Congrats on the progress and the new roles as well. I'll start with guidance. I think the midpoint implies for 4Q flat quarter-over-quarter revenue growth and I believe slightly down sequentially in Surgical Glaucoma given, Jim, I think you said TearCare is expected to step up sequentially. So I guess thinking about Surgical Glaucoma specifically in Q4, anything to call out that might keep you from growing sequentially despite what I think should be some seasonality benefits from 3Q to 4Q?
Jim Rodberg: Yes. Appreciate that, Tom. No, nothing specific to call out. I would say Q3 was a really strong quarter for Surgical growing 6% year-over-year and on the heels of a record number of active accounts, increased ASPs and utilization from Q2 to Q3 being flat, the team performed really well. And in setting up our Q4 guidance, at the midpoint, there still is some year-over-year growth there. And our objective and our practice in setting guidance is to set prudent and achievable guidance. So we feel really good about where we're at in the Surgical business and feel good about Q4.
Thomas Stephan: That's great. And then a follow-up just on TearCare. I appreciate all the color on the different initiatives and sort of the ramp up. But Ali or Jim, any help on sort of how to model or at least think about TearCare contribution next year either quantitatively would be great, but qualitatively certainly would suffice as well.
Alison Bauerlein: Yes, I can take that, and Jim, feel free to jump in as well. Obviously, we're not going to provide 2026 guidance today. As we said in the prepared remarks, we do expect to get back to growth in both segments this next year. So we do see opportunity to grow in both areas. In terms of TearCare, obviously, we will be coming off of a very small base of revenue. So I would expect the growth rate in TearCare to be significantly larger than the growth rate on our Surgical Glaucoma business just because of the small base that we're coming from. We do see large opportunity on TearCare as we activate these accounts and we work with accounts to identify patients that need the procedure. There's also this recurring revenue as patients return and need additional treatment. So we see that as a very large growth driver for us next year. Obviously, we won't provide details today on the specifics.
Jim Rodberg: Tom, I'll just add in terms of the model, TearCare is -- it's a unique business model. First of all, it's an interventional procedure that addresses the root underlying cause of disease for millions of patients, but it's not done in the OR. It's done in the office. The office typically has a much higher throughput profile. Number one, that's theoretically. Number two, we're starting -- we're not starting from a standstill like many new reimbursed launches. We've been in the market for several years now, which means, a), we have an established base of customers who have already demonstrated a strong product market fit and high throughput. So high-volume procedure. Reimbursement helps to unlock the scale of this market opportunity. And so to Ali's point before, what prevents companies from realizing significant TAMs? Usually, it's one of the key stakeholders along the way doesn't benefit or isn't completely happy. In this case, beyond it having high throughput kind of in-office profile with lots of patients lining up at doctors' offices, ophthalmologists and optometrists, everybody benefits. Value accrues to all stakeholders. Patients, first and foremost, they get immediate improvements and those improvements last as the SAHARA study says, it's a durable improvement in signs and symptoms of disease. Eye care providers benefit. Number one, they get to offer their patients a better treatment so they have happier patients. Number two, because it's a procedure, there's work in our view associated with that. So some of the economics accrue and that economic value accrues to the provider. And lastly, and very importantly, payers see value because as we scale this business and there's more scrutiny on a scaled business, payers are going to look and say, what's the value for us? And so the SAHARA 2-year RCT and the budget impact model and the clinical cost utility analysis that we performed and now published tell payers also that adoption of TearCare at scale is still economically beneficial to you. And so we think there's a tremendous opportunity for those reasons in terms of the business model.
Operator: Your next question comes from the line of Joanne Wuensch with Citi.
Unknown Analyst: This is [ Anthony ] on for Joanne. Another on TearCare coverage. How should we think about timing on commercial and MA contracts? Will those be after you sort of get the rest of the MAC? Or should we expect those to layer in along with the other MACs?
Alison Bauerlein: Yes. And we are actively engaging with both other MACs as well as commercial payers. We can't speculate on exactly when we will get any of the other coverage policies or payment schedules set up, but we are having good conversations. Those are continuing. And with both First Coast and Novitas establishing fee schedules and being the first mover there for establishing them, that certainly helps our conversations with other payers. So it's hard for me to say which will come next. I do think that all of them are progressing appropriately. I will say that the next easy target are the Medicare Advantage plans in the same states as the 2 MACs because there is a requirement for them to cover and match the traditional Medicare plans. So we are engaging with those Medicare Advantage plans that could also improve our coverage for those beneficiaries as well.
Unknown Analyst: Got it. That's helpful. And then in Surgical Glaucoma, you mentioned some dormant accounts reengaging. Any idea why those have started reengaging this past quarter?
Alison Bauerlein: Really, those accounts have been engaging over the last year. So this is something that is not necessarily new, but as we had the LCD uncertainty period where people weren't sure of coverage of OMNI and where that would come out, we did have accounts that went dormant during those periods. So we have been actively engaging with those additional accounts over the last year as we gained clarity on the new policies put into effect and we've just continued to see progress throughout the year to reengage those accounts and bring them back into an active status.
Paul Badawi: Another thing to keep in mind, I think I just want to call attention to the focus of our Surgical Glaucoma team. We've been in the MIGS market for a long time. We have very tenured professionals. We've maintained our focus on this market opportunity at a time when some of the others are losing focus, right? We had a question about one of the disrupted sales forces from one of the players. Other companies might be prioritizing other products with the same sales reps. We have a proven Surgical Glaucoma team with proven long-term relationships with MIGS surgeons. And I think you're starting to see the results of that focus over the long term come through in 2025 and we obviously expect that to continue and translate into real growth in 2026.
Operator: Your next question comes from the line of Adam Maeder with Piper Sandler.
Adam Maeder: Congrats on the progress and welcome, Jim and Ali, congrats on the new role. Two from me. I guess the first one on the P&L. You all have done a really nice job with expense management this year. And you further, I think, recently announced the plan to reduce OpEx by $12 million on an annual basis. So really, I guess the question is, how do we think about the OpEx line in our model next year? Just any qualitative or quantitative color would be appreciated. And then I had a follow-up.
Paul Badawi: Yes. At this time, we won't -- we're not going to give any 2026 guidance, but we are really proud of the work we've done on OpEx. The team has been extremely disciplined over the last year to 2 years here and really have driven a lot of OpEx savings throughout the P&L. And you can see in the reduction here in the guidance, it's impressive, the OpEx adjustments and improvements we've made. And one thing I'll call out about the reduction in force is that a lot of those costs were general and administrative costs and not commercial and sales impacting costs. So that's important to note, too, I think.
Adam Maeder: Okay. Understood. That's helpful. We'll stay tuned for more color there. And I guess for the follow-up, I think this is for Ali, but it's on TearCare. And just trying to, I guess, better understand the strategy to kind of build, I would say, more awareness around the TearCare therapy. Are you at a point now where it really kind of makes sense to make those market development investments? Do you wait for additional payers to come on board? Clearly, it's a big opportunity to go after, but would love to hear about the strategy to get those patients into the funnel.
Alison Bauerlein: Happy to take that question and it's a great one. So first, I would highlight the fact that we've been in the market with TearCare for multiple years now. We've sold 1,500 hubs into accounts that are trained on TearCare and we've done over 70,000 procedures in the model. So already, we do have a good base of awareness on the TearCare procedure and the benefits of the TearCare procedure to patients. Of course, we do need to continue to expand that knowledge base, expand the customer base. As we've said, there is 6,500 optometrists and ophthalmologists that we will be targeting as part of our overall approach to the market. And of those, a large subset of them are in these areas that we can go target and work with to really start seeing increased utilization of the technology. So that is our high-level plan. We do have a small sales team in place. We have been starting to grow that team as we look to -- as we've had these fee schedules established and that will continue in 2026 in a targeted manner. We are now kind of from a commercial perspective trying to increase density in the states that we already have these fee schedules established. So payers that would be complementary to those states, so we can increase density with those customers. But we are also looking at expanding into other MAC jurisdictions as well. So really, the focus is both increasing the payer coverage and payment schedules at the same time as really driving customer engagement in these markets. I will say that naturally, this is one of the most common reasons that somebody goes to their eye care provider is because they are experiencing dry eye symptoms. So the problem is well understood by our customers and they are seeking better treatment options. And TearCare has been proven effective in the SAHARA study versus RESTASIS. And we are really hoping to continue to educate providers on the benefits of TearCare and how this can fit into their overall dry eye treatment paradigm. So we're very excited about that as is our providers who have expressed strong interest in learning more.
Operator: Your next question comes from the line of Justin Wang with Morgan Stanley.
Xuesong Wang: Filling in for Patrick. I just want to touch a little bit more on the momentum of achieving coverage density on TearCare. I mean, with Novitas and First Coast setting the precedent for Medicare fee-for-service and how exactly has this influenced the tone of conversations with other payers, both commercial and government? And so I appreciate that some payers just didn't want to be the first out there. But now that that's out of the way, how should we be thinking about the cadence for future decisions going forward?
Alison Bauerlein: Yes. Great question, Justin. And we are continuing to have those conversations. I will say that it is important for somebody to step up and be the one to establish these first payment schedules at these appropriate fee schedule amounts. And so we were very happy to get across the finish line with First Coast and Novitas. The conversations have continued with payers. I will say, in the world of payer discussions, 3 weeks is a very short time frame, but we have had engagement with both commercial and MAC within this time. And there has been strong interest to understand how First Coast and Novitas came to these decisions and what their next step should be in understanding the clinical value of the TearCare procedure and also the health economic value. So I will say that interest has continued to strengthen as we've gotten past those publications. And we do feel good that First Coast and Novitas will be the first of many, not just the first.
Operator: I'm showing no further questions at this time. I would now like to hand the call back to Paul Badawi for closing remarks.
Paul Badawi: Thank you for attending today's call. We appreciate your interest in Sight Sciences and we look forward to updating you on our progress in the future. Thank you.
Operator: Thank you. This does conclude the program. You may now disconnect.